Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to the Greenland Technologies Second Quarter of 2021 Earnings Conference Call. Currently, all participants are in listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, we are recording today's call. If you have any objections, you may disconnect at this time. Now, I will turn the call over to Julia Qian, Managing Director of Blueshirt Group Asia. Ms. Qian, please proceed.
Julia Qian: Thank you, operator, and hello, everyone. Welcome to Greenland Technologies second quarter of 2021 earnings conference call. Joining us today are Mr. Raymond Wang, Chief Executive Officer; and Mr. Jing Jin, Chief Financial Officer. We released the result earlier today. The press release is available on the company's IR website, as well as on Newswire Services. A replay of this call will be also available on our IR website in a few hours. Before we continue, please note that today's discussion will contain forward-looking statement made under the Safe Harbor provision of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual result may be materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company's corporate filing with the SEC. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Also, please note that unless otherwise stated, all the figures mentioned during the conference call are in US dollars. With that, let me now turn the call over to our CEO, Mr. Raymond Wang. Go ahead, Mr. Wang.
Raymond Wang: Thank you very much, Julia, and good morning, everyone. Thank you so much for joining us today. So this call is a continuation of our commitment to provide greater communication and transparency into our business for shareholders, investors and interested parties. And since this is our second ever earnings call, I just wanted to start with a quick overview of our business. So founded in 2006, Greenland Technologies Holding Corporation is a market leader in the development and manufacture of transmissions and drivetrain components for material handling vehicles, with a focus on forklift trucks, operating out of a 650,000 square foot manufacturing facility in Shaoxing, China. We are the largest independent drivetrain supplier for forklift OEMs in China, with over 40% market share and a clientele that includes all of the Tier 1 forklift manufacturers, such as Linde, Heli, HANGCHA and Doosan, just to name a few. Now with a focus and commitment on developing high-quality innovative products, we announced the expansion of our product line with our own brand of all-electric industrial vehicles, including lithium powered electric forklifts and industrial sized electric front loaders and excavators for commercial sale by the end of this year. And here at Greenland, we have a proven history of strong fundamentals and consistent positive profit generation. And once again, we have achieved a record quarter with $28.2 million in revenue and 42,046 transmissions sold and delivered, representing a 70.1% and 43.6% year-over-year growth respectively. This is the highest revenue and transmissions sold within a single quarter in the history of our company. And to all of the hardworking individuals at Greenland, thank you very much for an amazing job and continuing to strive for the success of the company. These results are attributed to three key factors, strong global growth for forklifts and other material handling vehicles, our established supply chain and improve efficiency with our production facility. Now first, strong growth in the global logistics and warehousing industries have continued to drive sales of forklift trucks and other material handling vehicles, particularly in markets outside of China. We have been seeing significant momentum in the second quarter. Some of our clients have reported their vehicle exports outside of China have nearly doubled in the second quarter, which is a positive indicator to our business. Secondly, this demand requires the production capability and supply chain to support the growth and our teams have been working hard to overcome any volume challenges to continue to deliver for our clients. And because of our industry reputation and long-term relationships with our suppliers, we have mitigated supply chain impacts that others in the industry have struggled throughout this year. And as a result, we have produced and delivered a record number of drive trains within a single quarter. And lastly, our production facility has benefited with the increased sales volume. Our 650,000 square foot facility has the capability to support the increased production needs and increased production has led to improved economies of scale within our site. This resulted in an increase to our gross margins by 2.8% year-over-year, and represents a significant milestone in our mission for operational excellence that we continue to deliver for our clients and shareholders. And this is during a time factoring and increase in the raw material costs and other increases in supply chain expenses. Now, as our electric industrial vehicles, we announced our own line of lithium powered electrical forklifts known as the GEF-series. There will be three models initially with rated load capabilities ranging from 1.8 tonnes to 3.5 tonnes. These vehicles utilize that integrated drive train specifically designed to support lithium powered forklifts. Now the first batch has already completed production. They're loaded into containers and ready to be shipped over to the United States for sale. They will arrive by next month and be available for commercial sale out to the East Coast region of the United States. Moving on to our GEL 1800, the electric wheeled front loader. This is also competed production. It's finalizing the last steps of quality assurance before beginning preparations for shipments over to the United States. Our investor deck does include images taken of the GEL 1800 during assembly, especially showcasing our 141-kilowatt lithium battery, that is the power force behind this unit. It will arrive in October of this year. And it will be followed shortly by the GEX 8000, which is 8 tonne electric excavator. That will be arriving shortly by the end of this year in December. Production on excavator is progressing as planned. And we're excited to showcase both of these vehicles to the North American markets when they arrive. Our strategy is to have these vehicles assembled in the United States at modest assembly facilities. In addition to assemblies, these sites will also offer sales, distribution and support to the local area. We are still in discussions with various locations and states and have not yet decided on the final location for our first assembly site. However, our list of potential locations continues to get shorter. And we have been pleased with the cooperation and support from state and local governments as we continue our search. And to finance the expansion of our business in our new line of electric industrial vehicles, Greenland recently filed an S-3 registration of $155 million in shares and worked with Aegis Capital to raise about $7 million in a follow-on offering. These funds are allocated to finance the establishment ever first assembly sites, marketing, product development and other business expenses. Now developing innovative solutions to meet market trends are the core elements of our culture agreement. And we're happy to be investing more in our research and development efforts. In June, we entered a strategic research partnership with Zhongcha Heavy Industry Machinery to develop new systems lithium powered electric forklifts that will improve the efficiency, operation in time and power of these vehicles. And this R&D will lead to the next stage of lithium powered forklifts and enhance our efforts to become a market leader in the North American region. And this record quarter continues to showcase the strength of our business, which will be bolstered as we expand to the global market with our new product line of electric industrial vehicles. I'm extremely proud of our results for the first half of the year. There is a lot to be excited about the Greenland Technologies, and I wish to thank our team members and partners working hard every day to deliver results, and to our investors and shareholders for their faith and support in our company's success. Now with that, let me just turn the call over to our CFO, Mr. Jing Jin, who will provide more insight into our financial performance. J.J., go ahead.
Jing Jin : Thank you, Raymond. And thank you everyone for joining our call today. I will now go over our key financial results for the second quarter of 2021. So the full details of our financial results, please refer to our earnings press release. Our stellar financial performance in the second quarter as we find our market leading position to cater to growing demand for high quality transmission products, and our ability to navigate a supply chain challenges. The number of our technician products sold increase 48.5% to 42,046 units from 28,305 units in the second quarter of 2020. We generate a record revenue of US$28.2 million, an increase of 70.1% year-over-year. The increase was primarily due to the significant increase in our sales volume bothered by the continuing increasing demand in 2021. In addition, we were successfully captures opportunity of putting our suppliers and revenue generation, while some our peer mass challenges in handling material shortage and were unable to deliver. The cost of goods sold was US$22.5 million, an increase of 64.3% from US$13.7 million in the second quarter of 2020. The increase was primarily due to the increased volume of the transmission product sold and the increase in raw material prices. Compared to the 70.1% of the revenue gross we generate a positive operating leverage of 5.8%. We were concerned with this result and the material shortage and supply chain constraints. Driven by higher sales volume and continue for in cost management. Our profitability was increased gross profit was US$5.7 million, an increase of 98% from US$2.9 million in the second quarter of 2020. Our gross margin also increased by 280 basis points year-over-year to 20.2%. As the result of the product mix towards to the higher wall wider. In most of case products like hydration or transmission products, material costs was well managed through strategic partnership and the long term September demands. The total operating expenses were US$2.3 million up 84.1% from US$1.2 million in the second quarter of 2020. Our operating expenses as a percentage of total revenue was 8%, up only 6.0 percentage points compared to the 7.4% in the second quarter of 2020, primarily due to the increase in sales and labor cost year-to-year. The selling expense in the second quarter was US$0.5 million, $0.2 million higher than the prior year. The general and administrative expenses was US$0.75 million US dollar, up 69.6% from the second quarter of 2020 due to the expiration of the Chinese government policy related to the COVID-19 relief. Moreover, as we continue to increase investment in the new product environment, commercial EV, the research and the development of expensive rose 111.4% year-over-year to US$1 million in the second quarter of 2020 which is the 3.5% of the total revenue that we generate. We are further advancing our products and solution in the pursuit of the further growth in electrification area and the commencing our market leadership in the transmission and the drivetrain segment. Fueled by the rapid growth in the revenue, we were able to generate a record net income of US$3.2 million, an increase of 114.2% from the previous year. Last, but not least, let me update our financial guidance for the 2021. We reached our revenue guidance wrench to US$19 million to US$100 million from the original range of US$80 million to US$90 million. The updated guidance range represents an increase of 35% to 49% year-over-year. So that concludes our prepared remarks. So, let's open the call for questions. Operator, please go ahead.
Operator:  Your first question comes from the line of Rommel Dionisio of Aegis Capital. Please ask your question.
Rommel Dionisio: Hi. Good morning. Thanks for taking my question. I just was hoping to delve a little more into the core growth -- the core revenue growth in the quarter, I mean, 70% growth, some of the stellar performance. I see your comments about improvement in the market and some of the difficulties that your peers face. But I wonder, could you still been tune -- how much of this is also market share gains? It seems like you're really driving significant outperformance relative to the market in China. And, you know, I wonder if you could just provide a little more color on what's really driving that? Is it new products? Is it getting deeper with existing customers? It is new customers, just maybe some additional color there, please? Thanks.
Raymond Wang: Yes, of course. So from a market share growth, though we have experienced a lot of success during the global pandemic, which is definitely something that's always unfortunate to say success during pandemic. However, it was a very difficult time for the industry, from both a supply standpoint, a labor standpoint to be able to deliver for clients. However, we have been able to during that time period, and that did attribute to our growth and increase in sales. However, a lot of our gross margin increase is more attributed to the efficiencies that we are gaining from a manufacturing production standpoint through economies of scale, but also an increase in adoption for some of our newer component products, like our integrated drive trains that produce a higher margin to our business. And this is sales through existing clientele we already have on the books as they look to electrify their fleet. So that's what I would attribute the increase to gross margin towards. JJ, do you want to add anything else to that?
Jing Jin: Yes. Our new edition, you can look at our account receivable for some of these average new products, we also soften a little bit account receivable for them. So yes, that's also give us the boost for the revenue. Excuse me. Sorry. Yes, so I think that's one of another reason and to take over the growth that we are looking for. Because during the 19, the COVID pandemic, domestically in China, I think, since the strong opposition of the Chinese government to put over relocate the supply chain so we are doing good and find ways to deliver the products. We have experienced some other competitors that are able to deliver the products to their customers. But I think one of the attribution to our growth is we secure the supply chain, and we gather what we deliver. And also we soften our  what we get they paid for the new products.
Rommel Dionisio: Okay. And maybe just a quick follow-up. Obviously, we're seeing raw material price rise across the board. To what extent are you able to pass-through some price increases as a result of those rising raw material prices? Thanks.
Raymond Wang: Of course, so, yes, raw materials, especially steel that directly impacts our business has been peaking at the start of this year. And it's a short-term spike. We're already seeing prices start to normalize. However, that was a difficult time period. And we actually followed a philosophy that we were actually not going to pass that expense directly to our clients. We did expect it to be short-term. Our assumptions there were appropriate. And this actually helps support our clients out through this time, which really helped to build long-term relationships. This is a very key attribute for the success of our company and how we are able to attract and maintain a Tier 1 OEM clients. We work with them and support them through difficult short term hurdles in the markets and in the economy. So we were actually able to absorb it and the success and results that we actually are posting today already factors that increase to our expenses, so which either further showcases the strength of our results.
Rommel Dionisio: Yes, yes, it certainly does. Okay, thanks very much. Congratulations on the quarter.
Operator:  Your next question comes from the line of . Please ask your question.
Unidentified Analyst: First, I'd like to congratulate the company on its outstanding performance financially last year during the COVID crisis in 2020. Going forward, in your export market into the United States, do you think that your – the interest in the United States for your products will justify your forecast for 2021 and 2022?
Raymond Wang: Yes, absolutely. So our expansion into the United States with our electric industrial vehicles are beginning, this year we have the vehicles arriving in Q3, Q4, and we will begin to initiate commercial sales. But full disclosure, it's going to take a little bit of time for reasonable sales to begin. We still have to create and establish our assembly sites. It's going to take some time to develop our brand and awareness – brand awareness into our product as well, especially because we're a pioneer in this space of industrial size, all electric construction vehicles. There's no other commercial unit available in the market at this time. And this is the market that's historically been dominated by internal combustion diesel engines. So there's definitely a consumer at adaption that we need to pioneer, drive and spearhead. So I don't expect to see true reasonable sales for our construction vehicles until probably the Q2 to Q3 timeframe of 2022. So our guidance for 2021 is primarily attributed to our core business of drivetrain and transmission components. But it will be supported by moderate vehicle sales, particularly in our lithium-based forklifts, we anticipate those vehicles will sell much faster. Because electric forklifts, the mentality is already established even in the United States, lead acid, battery, forklifts have been around since the 90s. And their market share is beginning to rise the overall sale forklift in the United States. And lithium is a far superior product compared to a lead acid battery in terms of maintenance, ease of use and power as long as it's priced appropriately. So just a few weeks ago, we were very happy to announce our sale price for three models. And they essentially range from $24,000 to $25,000, with rated loads from 1.8 tonnes to 3.5 tonnes and this range captures not just the majority of forklift sizes used and sold in warehouses and manufacturing facilities today, but also this price is comparable to the purchase of the lead acid based vehicle. So, from a business standpoint, looking to add on to their forklift fleets or looking to begin converting to electric vehicles and capture potential state, local and federal electric incentives for their business. It becomes a no brander.
Unidentified Analyst: My second question is with regards to the transmission deduction. Doesn't your electric cars use a direct drive as opposed to gears and stuff?
Raymond Wang: So our electric forklifts utilize our integrated drive train system, which incorporates both the electric motor, the driving axle and the speed reduction gearbox, all together in a single package. It's very easy to incorporate. So, it still utilizes gears and driving axle with the motor horsepower, and specifically designed to support lithium battery powered forklifts. So that is to include.
Unidentified Analyst: Thank you very much, and like I said, again, congratulations on your performance last year and going forward. Thank you very much.
Raymond Wang: Thank you.
Operator: Your next question comes from the line of  of Amazon. Please ask your question.
Unidentified Analyst: Hello and congratulations for your business. I think that's your business is very good idea to make everything electronic -- electronic. I wonder like whether you plan to ship a product potentially to Europe, because the whole world needs electric product.
Raymond Wang: Yes. Especially, after we announced our products, particularly the electric front loaders and excavators. We announced this to the North American market. However, the beauty of the internet and information is the whole world saw it right away. And we actually began to receive a lot of strong interest from European countries like Russia, Oslo, Romania, Germany, Italy, and even other countries like Australia, Morocco and Africa and South American countries as well. So, this showcase to us that the need and desire for these vehicles is present in the global market and the timing is now, especially as governments begin to instill emission targets for the countries for the businesses and industries. So, right now, our focus is going to be on the North American market. Focus is key and critical for the success of your business. That's always been our philosophy. And our focus is going to be on North America. However, I will say based on the shrunk interests, we are having conversations, and we are keeping a very close ear and opportunities available in other markets, such as in Europe.
Unidentified Analyst: Yeah. When do you plan, I think like adjusting North American, adjusting American, there's a lot client -- like a lot of clientele with Amazon. Do you have any claim to speak to Amazon, because Amazon's warehouse…
Raymond Wang: We have not spoken to Amazon yet, but I would love to initiate those conversations.
Unidentified Analyst: It's a very good idea.
Raymond Wang: I think it’s perfect.
Unidentified Analyst: Thank you.
Raymond Wang: Thank you.
Operator:  Your next question comes from the line of Jiya Gel  of Amazon. Please ask your question.
Unidentified Analyst: Hi, I have another question. How do you prevent other competitors to enter this field in a win against a win?
Raymond Wang: Yes, the key thing is in the manufacturing and production, it takes a high level of skill and expertise to be able to develop electric industrial vehicles of this size, which is why there is no commercially available vehicles today. The only other potential vehicles that exists on the market are a Volvo, Caterpillar and Komatsu. They do have electric versions of their vehicles, primarily excavators. However, these companies have no true incentive to actually make these vehicles commercially available at this time, because they are the market leaders in their space today, Caterpillar example, has over $2 billion backlog for their internal combustion vehicles. It's huge, which showcases the opportunity. However, because they're the market leader, if they were to sell an electric industrial vehicle that simply becomes one less internal combustion vehicle that they sell, it's simply cannibalize their business. And right now, their business model is not specifically catered towards electrification; they rely heavily on their dealership distribution system. And that system is supported heavily by long-term maintenance contracts to keep these vehicles running, and electric industrial vehicles have very little maintenance. So this is a whole revenue stream that is not going to support the leadership model, which is why we share agreement, as we approach the United States, we're actually going to be doing direct sales to consumer, we're not going to follow the traditional dealership model, because the incentives and motivations are not there for them, and it would become a linchpin for us, for our business. But that's the competitive landscape. Right now, there's very, very little competitor out there with no incentive to truly enter the market. And anyone else are, very small scale -- producing small scale vehicles that are under one-time in total weight size. So really utilized for small residential applications and cannot support that industrial service.
Unidentified Analyst: I think, I read an article that's lithium powered electrical vehicle, like you're starting to do better, right? Is that true? Because, I still think into your industrial electrical profit this is a very good idea. But if you're diverse, you're interested in other fields, you may lose the process, in the real big deal can make a big profit, which is electrical profit.
Jing Jin: Yeah. And you're right. Focus is key, which is why I know we're not exploring any type of product in the electrical passenger car, market or anything of that nature. Our focus is just on industrial vehicles, because that's our expertise. We're the market leader for drive train systems for material handling vehicles. So from a focus standpoint, we operate in our expertise.
Unidentified Analyst: I wish you will success. It's a very good idea.
Jing Jin: Thank you very much.
Unidentified Analyst: Thank you very much.
Operator: Your next question comes from the line of Wayne Lee of BCL. Please ask your question.
Wayne Lee: Okay. Thank you for taking my question. I'm wanted to ask what was your relative to trends for electric, motor and excavator, I mean, if they are has been involved in the U.S. and what will be the effective margins?
Jing Jin: I'm terribly sorry Wayne. I only caught the last end of your question, asking about the margins. But I missed the first part, I apologize. Could you repeat it?
Wayne Lee: Okay. Okay. The first part is what's your manufacture plan for electric motor and technical failures? And so this is the first question to ask. And the second question is, if they are assembled in the United States, what will be the effective margin?
Jing Jin: Are you asking for the prototype? Like, for the building side of the electronic vehicle?
Wayne Lee: Yes.
Jing Jin: Okay. Yeah. Raymond, go ahead please.
Raymond Wang: Yeah. So we will be establishing a modest assembly price for the final assembly, quality assurance and distribution of these electrical vehicles. Because of the we are going to continue to rely on our strength in manufacturing capabilities supply chains, overseas in China. The parts are going to be created there. We're going to package them together in semi-knocked-down kit or SKD kits. And then shift them over to these assembly sites for that final assembly. And because of that, we only need assembly sites that modifies. So we're talking about 40,000 to 60,000 square feet in size. And that's where these vehicles are going to be assembled on U.S. soil with U.S. hand. Now, in regarding the price and margins, we have not yet announced the price, either the GTX 1800 or the GTX 8000 the front loader and the excavator. However, I can say that the initial purchase price will be comparable to the legacy combustion engine vehicles today. And it is important to note that our electric vehicles requires significantly less maintenance than an internal combustion vehicle. And the price of electricity to operate the vehicle is a fraction of the price of diesel fuel required. So the return on investment for our vehicles becomes extremely attractive to a business and end consumer. And let's not forget about the potential opportunities and government incentives for electric vehicle products. All these considered Greenland vehicles will be offering a significant value to our clients.
Wayne Lee: And you're – I know that -- is that, when you see out your own distribution genuine on leverage -- leverage the existing dealers?
Raymond Wang: We will be building our own distribution channel. We will not be relying on the dealership network. We just have no confidence in the dealers having the right incentives and motivations to push our products, especially because right now the industry is in higherly dominated by internal combustion vehicles that these dealers are selling today. So, I use this example all the time, if a dealer has 200 diesel excavators on their lap and five electric and the customer comes in saying hey, which vehicle should I buy for my business, the dealer is going to point to the diesel engines, because they have so much worth. And that also has higher downstream revenue for that dealership. So, our vehicles would not move. We're not very confident they would move. So, because of that we will be establishing our own distribution networks. And to support it, we've already opened a sales and marketing office here in the East Coast of the United States. It's currently based out of New Jersey. And it's just the start for each of our assembly sites that we put up because they’re modest in size, because we're only about 40,000 to 60,000, we actually plan to spread our outreach to these markets utilizing those sites. So they would not be supporting just assembly, but also sales and support as well to our clients.
Q – Wayne Lee: Okay. Thank you.
Operator: . Your next question comes from the line of Lucy Lu of Valuable Capital Ltd. Please ask your question. Your line is open, please ask your question. For the line of Lucy Lu, your line is open. Please ask your question.
Lucy Lu: Hi, can you hear me right now?
Raymond Wang: Yes, we can.
Lucy Lu: Okay. Yeah. So we haven't noticed like the company has started pre-booking. So for the GEL-1800 electric loader and the GEX electric excavator steam engine. So can you please share with us how many EUs has been pre-booked and what's the market response so far?
Raymond Wang: Since we started the pre-booking service right at the end of the second quarter, it would not be appropriate to share the results of a few days. However, I can say that when the pre-booking service launched, we received strong interest in inquiry into the vehicles. However, the number of commitments has been low. Now, because this is radically new technology and a product that has historically been internal combustion, we expected there would be some reservation in the market. And we're confident that we can strongly and quickly overcome these concerns once the vehicles arrive on US soil, and prospects can get inside and experience all of the advantages that electric will offer firsthand, such as the instant torque from the electric motor, the quiet operation of the vehicle, and the zero operating emissions. So we suspect that we will be winning hearts and mind with this product line, once the vehicles land on US soil and people can interact with it firsthand. And we expect an increase in our pre-booking service at that time.
Lucy Lu: Thank you. And my second question is when do you expect to scale the reasonable scale and well share with us the sales metrics?
Raymond Wang: Great question. So we will likely begin sharing sales metrics in the fourth quarter of this year. But reasonable sales for these products, we expect to truly begin in the second to third quarter once our first assembly site goes live, because from that site, we can begin pushing sales and service very heavily. And that is going to be the true milestone to enter that market and initiate realistic sales. That's when we can start -- we can expect to start winning fleet contracts, which is definitely the target for these vehicles.
Lucy Lu: Thank you for the answers. And the third question I have is on what is the market interest and beyond demand of electric forklifts?
Raymond Wang: The demand for markets – the demand for electric forklifts is high, the one hesitation that we were hearing from our potential prospects and an interested parties with concerns with the price, especially in the North American market right now. Because it lithium powered forklifts right around the 2.5 tonne rated load range which is the most common size available used and warehousing today, tops at around $70,000 because typically the battery and charger are sold separately from the vehicle itself and the vehicle is typically sold at a significant upsell. Now the reason for that it's very similar to the internal combustion scenario environment with market leaders like Caterpillar and Volvo. Here in the United States, the market leader is the Raymond brands of forklifts is Toyota's brand, they have market share over 20% of the forklift sold, and about 70% of all electric forklifts sold. And these electric forklifts are utilizing the lead acid power system. Now, as the market leader, they are introducing the lithium powered forklift, but it's done at a significant upsell. So right now the only real options that consumers have is, either they can buy a lead acid forklift for around $30,000 or a lithium battery forklift for around $70,000. And that's very difficult financially for a business to support that transition. But that's where we come in because we do not have a legacy product line to cannibalize. So, we're focused specifically on lithium-powered forklifts and they are priced at a level that's comparable to the lead acid models available today. And that's how we will be able to enter the market and capture market share because the return on investment for our vehicles, especially compared to a lead acid or internal combustion system is going to be favorable for our vehicles.
Lucy Lu: Okay, so for the electric forklift, well, you like geared up your own distribution channels or leverage existing dealers?
Raymond Wang: We are going to build our own line -- our own distribution channels for the forklifts, as well as the loaders and excavators.
Lucy Lu: How many stores you would need to -- you would need and what will be the working capital required for building up the inventory and hiring a sales person?
Raymond Wang: The working capital for each of these assembly sites ranged from between $3 million to $5 million to establish inventories and get it fully staffed. And we expect operating expenses of amounts of $1 million to $2 million for the site. That does not incorporate the cost, the parts coming in and out for the end product. Now, for this model, we are going to be exploring as many locally-sourced critical components directly in United States as possible to be able to mitigate any type of financial burden, regarding any trade tariffs to help improve our profit margins as well. So, we are going to initially look for US domestic suppliers of machinery, attachments, tires, and lithium batteries needed by our vehicles. And we're going to continue to explore these opportunities to source as many components domestically as we can and where it makes sense. And these partnerships are going to factor in our network as we begin to expand it further. We will be focusing primarily on the East Coast at this time in terms of our expansion as we explore setting up new assembly. Actually, one additional comment as well about your question, very important that I wanted to add is for our first assembly site. So, this year agreement technologies, we actually work with Ages Capital to raise about $7 million in a follow-on offerings and these funds are going to support the establishment of our first assembly site. So, from a current working capital standpoint, we are well-equipped to be able to develop that and get that up and ready as fast as possible.
Jing Jin : Her connection is lost. We lost the connections.
Operator: Thank you. Seeing no more questions in the queue, let me turn the call back to Mr. Wang for closing remarks.
Raymond Wang: Wonderful. Thank you. So everyone, just as a quick recap, I am extremely proud of everything that's been done at Greenland Technologies by our team of hard working individuals dedicated to the success of our business, not just for us, but for our shareholders and our investors, and for all the support across the board. This has been a record first year in the history of our company. And I'm extremely optimistic with what the future is going to hold, especially because, we've been able to deliver these results during a very difficult and challenging time. But we've been able to meet and overcome all of these challenges. And this is bolstered by the launch -- official launch of a new product line of electric industrial vehicles, which I'm extremely excited about and cannot wait for them to arrive on US soil. So then we can begin sharing these products with the local communities and be able to grow that business channel. So this is a milestone stage right now for business. We're right on the doorstep of the next evolution to Greenland Technologies. And I want to thank all of you for being here to learn more about our company, for asking wonderful questions, and for all of your support. So, thank you, very much. We look forward to speaking with you again in the third quarter.
Operator: Thank you, all again. This concludes the call. You may now disconnect.